Patrik Stenberg: Good morning, and welcome to this conference call on the second quarter results. As usual, we will use the chat function for the Q&A session, that will follow after the presentation. You can start posting your questions already now, and we will answer them in due course.  Today is also the first time I will welcome our new CEO, Rickard Gustafson, to the quarterly presentation. Rickard will start the presentation. And after that, Niclas Rosenlew, our CFO, will continue.  So with that brief introduction, welcome again, and I'll leave the word to Rickard, please.
Rickard Gustafson: Thank you very much, Patrik. I'm very pleased to report that SKF has performed well in the second quarter. We have delivered a record strong operating profit, and we're making solid progress on our efforts to consolidate, automate and regionalize our manufacturing footprint. Demand is currently very strong and organic sales grew by 33% in the quarter, taking us back to pre-COVID levels. Net sales in the quarter reached SEK 20.7 billion, up from SEK 16.5 billion last year. Industrial sales grew organically by 22% and automotive sales grew by a full 76%. The second quarter saw a record adjusted operating profit of SEK 3.1 billion and a strong adjusted operating margin of 15%. The result was especially impressive given continued headwinds in the form of negative currency impact and rising input costs. Through effective mitigating actions, we have been able to compensate for approximately 50% of this cost inflation. We have done well to serve our customers under these circumstances. And we are doing our outmost to capture additional growth opportunities. Cash flow generation in the quarter was just north of SEK 500 million, a significant improvement compared to last year as well as the last quarter. All in all, a really strong set of results, which we are pleased with. When looking at the development across our main markets, you can see that EMEA is still our largest market, representing some 44% of sales, followed by Asia Pacific at about 30% and North America at about 20% of sales. During the second quarter, we have seen a very strong rebound of demand, and we are all working diligently to meet our customers' expectations. All regions saw double-digit organic growth, although from an extraordinary low comparison in Q2 last year. With that said, organic sales in Asia and Latin America are now at level above what we saw before the pandemic hit. As mentioned, we are constrained by tight supply chains and a lot of efforts and hard work have been done throughout the entire organization to serve our customers. What all our regions have in common is a shared belief and focus on our ability to capture even more growth. Taking a deeper look at our 2 segments, starting with Industrial, which you are aware, represent about 75% of our sales and 85% of our profits. Industrial demand is currently very strong, organic sales grew by 22% in the second quarter, and net sales reached almost SEK 15 billion. Demand in Asia Pacific was especially strong within off-highway, distribution and industrial drives. In EMEA, we noted the strongest momentum in the off-highway, energy and industrial distribution businesses. In North America, heavy industries, off-highway and distribution have been significant growth drivers for the accelerated demand. And finally, in Latin America, demand has been very strong in energy, industrial drives, off-highway and distribution. From a results point of view, the Industrial business delivered another strong quarter with a record high operating margin of 18% compared to 40% last year. Turning to the Automotive business. The second quarter has seen exceptional growth compared to Q2 last year. Organic sales grew by 76% in the second quarter, and net sales reached almost SEK 6 billion. However, we are still a few percentage points below the 2019 levels. Some of our automotive customers have been affected by component shortages and have been forced to make production adjustments. These have also had an impact on our inventory levels, which Niclas will tell you more about shortly. We have continued to support our customers to the best of our ability, and we show continued good performance with an operating margin of 7.6%, a significant improvement compared to the negative 7.6% of last year. In the second quarter, we have seen strong growth in demand for both cars, commercial vehicles and spare parts across all regions. As you know, we are well positioned within the electrical vehicles and work with many of the leading OEMs in most regions. We have secured another couple of really interesting contracts in the last weeks in both in North America. One for full electric passenger SUV and another for a commercial truck that is being developed while maintaining our high pace of investments and consolidation of our manufacturing footprint. Since 2019, we have permanently closed 6 manufacturing units and are currently in the process of closing an additional 11. Some of these initiatives regretfully have a negative impact on some of our employees, but are absolutely necessary to align our manufacturing footprint with customer demand to increase automation and secure growth opportunities. Investments in our factories are expected to reach SEK 3.8 billion for the full year, some SEK 200 million higher than our previous guidance. These investments make us more flexible and efficient as well as being an important foundation for winning more business from customers in fast-growing segments and regions. So far, these investments and consolidation efforts have realized SEK 1.1 billion of the SEK 5 billion in annual savings we expect to generate by the end of 2025. We are moving towards a more sustainable future. And we already have an ambitious net 0 CO2 emission target for our own operations by 2030. By also committing to the science-based target initiative, we are now taking steps to further increase our ambition and transparency levels throughout our supply chain. This will ensure that our efforts are fully aligned with the ambitions of the Paris agreement. Sustainability isn't just doing the right thing it's also a great business opportunity for us and which we will continue to invest in both from a product and industry segment point of view. As you can see on this chart, we have seen strong increase in our cleantech revenues during the last couple of years. It now represents sales of more than SEK 7 billion annually, an increase of 78% since 2018. This includes revenues from the renewable energy, electric vehicles and bearing remanufacturing. One of the many services that we offer to help to reduce CO2 emissions. This is a really excellent growth driver going forward and one which we'll continue to invest in. With this, I'd like to hand back to Niclas for a deep time in our numbers, and then I will come back with some further comments at the end of this presentation. So Niclas, over to you.
Niclas Rosenlew: Thank you, Rickard. If we turn to the next page, I'll take you through the details of our financials. So as Rickard mentioned, we had a strong demand for our products and our services in Q2. If you look at this sequentially, our organic sales continued to improve with consistent and good progress in recent quarters. Compared to last year, our net sales increased by 24.9% in the quarter. Our organic sales increased by 33.2% compared to last year. So as you can see, the currency effect on sales continued to be substantial at negative 8.3% in the quarter, with the largest effect coming from the dollar, the euro, the renminbi, the Indian rupee and the Russian ruble. In Q2, we continued to experience cost inflation on both components and on transports. We also had a significant currency headwind. Despite that, our adjusted operating profit was record high at SEK 3,118 million corresponding to a margin of 15%. We are investing in innovation, improving our competitiveness, continue our push within sustainability, and we are adapting our operations and our ways of working. This has continued to deliver good results. So in sum, the second quarter was strong, and we continue to transform our business. So in Q2, we had record high profits despite a challenging supply chain situation. And let's go through this step-by-step in the form of the profit bridge. Firstly, -- The currency impact was strongly negative at SEK 586 million compared to last year. We also saw continued headwinds from increased prices and materials, components and logistics, and this amounted to SEK 780 million compared to Q2 last year. Of the total SEK 780 million, a bit less than half was mix driven, while then the rest was inflation. On the other hand, our organic sales and manufacturing volumes contributed with a positive SEK 2,824 million. Within organic sales and volumes, both price and mix were positive. In the quarter, price/mix did offset roughly half of the higher material and logistics costs. Cost development continued to be good, and costs were SEK 33 million lower than last year. To sum up, despite headwinds from currency and increased material and logistics costs, our operating profit improved to a record high SEK 3,180 million with a 15% margin. We generated a cash flow of SEK 509 million in the quarter compared to negative SEK 854 million last year, excluding acquisitions and divestments. The cash flow for the last 12 months is SEK 4.5 billion. A key driver to the stronger cash flow is the improved operating profit, partly offset by continued buildup of working capital in the quarter, primarily coming from higher inventories. The reason for the higher inventories is due to the strong demand and expected growth also going forward. The other reason for the higher inventories is the volatile supply chain environment. So for instance, in automotive, some of our customers did not take deliveries because of shutdowns or lack of other components. Net working capital in percent of annual sales was 30.7% in the second quarter compared to 30.0% last year. The ratio was negatively affected by exchange rate fluctuations. In fixed currencies, on the other hand, net working capital to sales improved by about 1 percentage point compared to last year. Return on capital employed continues to improve and was 15.4% for the last 12 months. This being good progress towards our target of 16%. We continue to have a strong balance sheet and solid liquidity. Net financial, net debt amounted to SEK 4 billion and the net debt-to-equity ratio, excluding pensions was 16.8% at the end of the quarter. The sequential tick-up is seasonal, and this is due to the dividend payment in the second quarter. And with that, I hand back to you, Rickard.
Rickard Gustafson: Thank you, Niclas. To me, being the newcomer to this organization, the record high operating result for the quarter is a clear proof point on SKF's ability to drive efficiency and effectiveness in a volatile and demanding market environment. As I mentioned, I've been here now for roughly 1 month, and it's clear to me that SKF has some significant strength and competitive advantages. What I've seen so far is a group of very, very dedicated and skilled people. We have unparalleled engineering skills and capabilities. Throughout the organization, there is a true innovative spirit. We have a very strong market position and earned a lot of trust among our customers, suppliers and partners. And also, in this rather challenging market environment, I've seen a true desire to always deliver on our customer promises. Going forward, we need to build on these capabilities to drive additional profitable growth. And I think there are a number of levers that we can leverage. We need to further engage with our customers across the entire value chain. There are numerous examples of when we do that, we do win. We will continue with selective investments in additional capacity and further drive automation in our production units. We should leverage our natural fit in supporting the growing cleantech industries. We need to continue to industrialize and scale our ongoing innovation and services initiatives that has an enormous potential if we get it right. And we can further enhance our overall leadership capabilities to truly realize the full potential of the greater SKF. To me, SKF rests on a fantastic platform that can fuel future growth. I'm thrilled and eager to embark on this exciting journey that lies ahead of us. In the near term, though, demand is expected to remain strong. But I need to point out that we still have some uncertainties related to the ongoing pandemic and, of course, a continued constrained supply chain situation. For the third quarter, we expect an organic growth rate of around 10% compared to the same quarter last year. Before I wrap up and hand over to Patrik for the Q&A. I just want to reflect on 1 other thing that relates to the ongoing pandemic. It is the Gothia Cup. Normally, you know that we host the world's largest football tournament at every summer. But again, this summer, it's been canceled as it was last year, due, of course, to the ongoing pandemic. And of course, that is extremely regretful as it's such a joy to be part of something that makes young people come together, engage through sports and further grow and develop as individuals. And I hope that we can get back to this as quickly as possible. Hopefully, already next year, we can welcome teams from across the globe to the football fields here in Gothenburg. But we will not leave you without some additional sports comments. Referring to the illustration on this slide, SKF will be present also on these big sports arenas this summer. The guy on this slide, his name is Oski. He's a 2-time skateboard world champion and he's representing Sweden in the Tokyo Olympic Games. And he is, of course, an SKF user. As you know, bearings, they come in different sizes and seeing some of the smallest ones in action in Tokyo is something I truly look forward to. So with that said, over to you, Patrik, and the Q&A session.
A - Patrik Stenberg: Thank you, Rickard and Niclas, for the initial presentation. Now we'll move over to the Q&A session. And the first question we've got from several of you related to the demand. So Rickard, how did demand develop during the quarter?
Rickard Gustafson: Well, as we described, it's been very strong throughout the quarter in all parts of our business. In totality, net sales grew by 33% to SEK 20.7 billion. Within our Industrial segment, it grew by 22%. Our Automotive segment grew by 76%. And if we then break it down by the regions, Asia Pacific, 19% up; EMEA, 40% up; Latin America, 91% up; and North America, 27% up. So all in all, a significant increase in demand throughout the quarter.
Patrik Stenberg: Thank you. Moving over to the second question comes from Rizk Maidi at Jefferies. It's actually 2 questions. First one I would point to Rickard. Can you talk about your early impressions on SKF and what your priorities will be?
Rickard Gustafson: Of course, I'll be happy to. And as I tried to also outlay in my initial remarks. What I've experienced since I walked into this office and to this organization is I met an organization with true skills and significant engineering capabilities. A company that really had a strong foundation in the market, built a lot of trust among customers, suppliers and others, especially also during this quarter where we have seen some constraints in terms of logistics and supply. So all of that is really, really good and a great foundation to continue to build upon. I believe that there is more that we can be -- that can be done to fuel further profitable growth. And also, as I tried to describe in my remarks, there are a few levers that I believe are relevant to emphasis and focus even further on, one being our natural fit for the fast-growing cleantech industries. Now by definition, we were originated or we were founded on an idea to actually eliminate and create efficiency, energy efficiency. And that's what we need to continue to embark upon and support our customers in that journey. I think there are significant growth opportunities there. We have a lot of innovation ongoing in this organization. It's up to us to really capitalize on those and make them scalable. I think that's another area that we're going to focus quite a lot over the next few months and years. And then to me, we can and we will and define and develop our strategies, but strategies are not worth much if you don't have an organization that is fully behind it and that you can unlock the full potential of your organization. So I'm going to also spend a lot of emphasis and time on really understanding the leadership culture of this company, seeing how we can further strengthen and develop our leaders to really make sure that we get the full potential of this business. So I'm excited to be part of this. And I believe that there are good foundation that has been built over the years in SKF that we can build upon to further fuel profitable growth.
Patrik Stenberg: Thank you. Second question from Rizk, I would direct to you, Niclas. It relates to China. Can you talk or elaborate a little bit on what you're seeing currently in China? Any indication of demand slowing down in the country?
Niclas Rosenlew: Sure. So as Rickard just mentioned, in Asia, overall, we had a 19% year-on-year growth. And of course, China is a significant part of Asia. Specifically when it comes of our Asia business, specifically what comes to China, of course, the comparison point is stronger in China. So China came out of the downturn earlier, so already in Q2 last year. Of course, we do see lower growth rates year-on-year growth rates when it comes to China. But overall, I mean, we see a strong business in China, and also expect China to be good going forward despite year-on-year growth rates being lower?
Patrik Stenberg: Thank you. Moving on to Bank of America, and Maddy. A question on automotive. Why were adjusted auto margins lower quarter-on-quarter despite such strong organic growth? What kind of impacted raw material pricing have on margins, especially in auto segment? What other challenges are you seeing in the supply chain?
Niclas Rosenlew: Maybe if I comment on automotive and Rickard comments on supply chain in general. So I mean we had a 7.6% margin in Q2 in automotive, which is a clear uptick compared to kind of the historic automotive margins. And automotive clearly was affected by the price or cost increases. And I think in general, there is a slowness in price increases or, let's say, relative slowness in price increases in automotive, so it takes longer to get to some sort of parity there. But clearly, automotive was impacted by the supply chain challenges and also higher input material costs.
Rickard Gustafson: Yes. And if I ask in general, on supply chain and also related to some extent to automotive. As you also heard in our initial remarks, a number of our automotive customers, they struggle with the components and therefore, on a very short notice, maybe do not take their orders or even cancel orders, which, of course, was impacting our profitability in our automotive segment. The supply chain challenge is for real. I must say that the team here has worked extremely hard during this quarter to manage this and with a true desire to constantly serve our customers to the best of our ability. And I think that's going to be a key theme also as we move into Q3, to navigate in this environment where supply chain and logistics change will be difficult or constrained.
Patrik Stenberg: Another question on demand, a little bit more detail. How did the demand differ between different industries or customers in the second quarter?
Rickard Gustafson: Well, as I described, we saw a strong increase and rebounds in demand across our geographies and also in our 2 segments, both in industrial and automotive. We also tried to highlight some of the key growth drivers. Of course, automotive comes from a very weak comparison point in Q2 last year, where especially European automotive customers of ours they were made basically to standstill. Of course, that's a significant rebound. In other parts, we see significant growth in renewable energy. We see growth in off-highway. We see growth in agriculture. We saw also growth in distributors among our industrial distributors. So it's a broad theme and a general good demand growth across industries and across geographies.
Patrik Stenberg: A follow-up to that is, how do you expect demand to develop in the second half of this year?
Rickard Gustafson: Well, first, I need to also state the obvious that there are some headwinds still out there that we need to manage through that can impact the overall situation. The pandemic, as we all know, is far from over. We are still wrestling with this, and it's actually getting worse in some parts of the world at the moment. And as we already talked about a couple of times already with the supply situation will also be a challenge as we move forward. But within that context, though, we do believe that the demand growth will continue, we foresee that it's going to be a strong development again in our main regions and also both in automotive and in our Industrial segment. And altogether, our best estimate or our best outlook that we can provide at this stage is a net sales growth of around 10% for the third quarter compared to the same quarter last year.
Patrik Stenberg: Thank you. If we move over to a question from Societe General. Again, addressing the supply chain. What was the impact from chip shortages in the quarter? And how do you see that impact in the coming quarters?
Niclas Rosenlew: I think a bit referring to what Rickard just said. I mean we have seen a significantly constrained supply chain in general. And this is everything from logistics, transport to a lot of input goods on supply or chip shortages specifically, we have not seen that being a big issue for us as such. Of course, we are fully aware that some of our customers have been impacted so there's been an indirect impact on us as well. But I would kind of refer back to kind of the overall situation or a challenge that we see in the supply chain all around the world rather than zooming in on chips, in particular.
Patrik Stenberg: Thank you. Moving over to Goldman Sachs and Daniela Costa. A question on RecondOil. Can you update us on the RecondOil progress since the launch externally in mid-March. How large do you think this business can be over the next 5 years? And secondly, do you think current industrial margins are sustainable? How much reversal of temporary savings are still to happen? And will permanent savings from the 11 plant cuts more than offset that? We'll start there and then a couple of more questions.
Rickard Gustafson: All right. I can take the first one, and maybe, Niclas, you can take the second one then. On RecondOil, there's been an intensive work in this over the last 3 months, and that's been to really test out the technology, to make sure that we have built capacity to scale our business going forward. And we have also installed the technology in some of our own operations with very, very positive indications of the benefits that we will derive from that. So it's a lot of hard work at the moment to really position RecondOil for a scalable business over the next few years. At this stage, we do not give a guidance of how large we think this business can be, but it's definitely still high on our agenda, and we work intensively to secure the technology and scale our offering and bring it to the markets as soon as possible.
Niclas Rosenlew: And then Daniela, on the margin sustainability, I think in general, as you've seen over the last couple of years, the teams have worked quite hard on making the business more efficient and essentially increasing the margin levels sustainably, and that's what you've -- we've all seen. We've seen not just in Q2, but over the -- over a number of quarters now. Of course, we don't predict margins going forward as such, but it's been a key theme to actually bring up our margin levels. And that's what we've seen now recently. Specifically on Industrial business margins, again, I don't want to comment on those. But there is the generic theme of a lot of work having gone into this, a lot of efficiencies that we start to see in our margins, both industrial and in automotive, and we do expect that to continue that theme. And there's still a lot more we are working on. And then on the reversal of temporary savings, I think the -- I mean, if you look back at last year, we had roughly SEK 1 billion of savings in Q2 last year, and we said that half of that was temporary, half was permanent. As you can see now, I mean, the permanent savings are coming through and they are real and they are permanent.  What comes to the temporary ones, a big chunk of those have actually come back such as bonus accruals, to some degree, salary increases. But of course, we are yet not traveling very much or hardly at all. So that we expect to come back at some stage, maybe during second half. And then also kind of the timing of salary increases is such that we don't yet see the full effect of salary increases. So some of the so-called temporary ones are still to come through or be seen going forward.
Patrik Stenberg: Thank you. Moving over to Berenberg and Joel Spungin, a question that comes from several of you out there as well. Can you quantify if there was any margin impact from the inventory build in the quarter?
Niclas Rosenlew: Okay. Yes, I would say we have built some finished goods signatory in this quarter as opposed to the second quarter of last year when we actually reduced inventories. So we do have a -- some tailwind when it comes to margins this year. In the year-over-year bridge, I would say the effect is around SEK 170 million on operating profit.
Patrik Stenberg: Then moving over to JPMorgan and Andrew Wilson. Can I please ask, is the step-up on the investments or CapEx this year, indicative of higher spend levels in the future years? Or is this a timing difference pulling forward some spend?
Rickard Gustafson: Maybe I can start, and then Niclas, you can second me on this one. I think you should see this as an indication that we are ready to go after growth opportunities where we see them to really align our investments and build our footprint according to where our customers are and to really support them and that we are determined to continue the automation effort of this business to drive efficiency and cost effectiveness going forward. So the step-up here is actually part of the plan. And -- we have also seen additional growth opportunities that we're eager to go after. That's why we also have increased the pace somewhat this quarter versus what we had in the first quarter of this year.
Patrik Stenberg: Thank you. Moving over to a second question from Andy. It relates to the bridge and the cost items. So could you please outline some of the bridge considerations for the third quarter, such as the cost development savings versus inflation, price/mix and raw materials over logistics, please? Any detail is appreciated.
Niclas Rosenlew: Yes, Andy, so we do expect cost inflation to continue to have a negative effect also in Q3. And going forward, as you know, we are working quite hard on mitigating actions. We saw some of those mitigating actions coming through in Q2, and we actually expect that to continue and actually more mitigating actions to come through in Q3. So it's a combination of both continuous cost inflation, higher cost levels, but then mitigating actions. And the reason why we think that the mitigating actions will have a somewhat bigger impact in Q3 is natural because when it comes to pricing towards our customers, there's always a delay. It takes some time to get through. So -- and that's partially the reason why in Q2, we didn't see a full effect from the mitigating actions.
Patrik Stenberg: Thank you. Staying on the topic of pricing, but moving over to Olof at ABG. My apologize, I missed the first 10 minutes of the call, but could I ask how price increases are going? If you expect to be able to fully offset the raw material cost inflation through price increases during the second half of this year?
Rickard Gustafson: Well, I think we partially answered that on the previous question, but Olof's welcome to this conference or this call. What we said when you were not joining us is that we have experienced some rather significant headwinds in the quarter related to cost inflation. Cost is up around SEK 700 million in the quarter. But through our mitigating actions, which is a mix of price initiatives and cost takeout, we've been able to mitigate approximately 50% of this cost increase in the quarter. And as you heard, Niclas mentioned just, as we look into the second quarter, we will continue to work hard on these measures to ensure that we do whatever we can to offset the ongoing cost inflation. And the activities related to pricing, we believe, will have a somewhat more larger impact as we move into the second half of the year.
Patrik Stenberg: Thank you. A question from Andre at Credit Suisse. Two questions really. One is related to the production level. So could you please tell us how your production level compared to sales in the second quarter? The first one.
Rickard Gustafson: Yes, Andre. So we did build finished goods to some extent. So the production level was slightly higher than sales.
Patrik Stenberg: Second question relates to cash flow. So can you please talk through the key drivers of the cash flow development in the second quarter and provide some outlook for the second half of this year?
Niclas Rosenlew: Sure. So on cash flow, of course, we had a strong positive impact from the profit essentially and then what pulled the cash flow down was the buildup of working capital. And then if you zoom in working capital, specifically, it's really about increasing inventories. And two main things worth mentioning there when it comes to buildup or increasing inventories. One is that, of course, we do see a significant demand, we've seen a significant demand throughout the whole quarter. And given our guidance, you can also see that we expect demand continuing to be strong going forward. So partially it was about securing future output, future deliveries to our customers. Then the second thing that increased our inventory levels now in Q2 was customer deliveries. So essentially the constrained supply chains, especially in automotive, where customers, as Rickard mentioned earlier, essentially did not take deliveries, postponed deliveries in the last minute because of other reasons, the production being run down or other components missing. So that meant that we were left with more inventory you can say, than normally when it comes to automotive. So those are the 2 big kind of blocks driving up the inventories.
Patrik Stenberg: Thank you, Niclas. Moving back to sales question from Ben at Morgan Stanley. Patrik, on China, please, could you clarify, are you selling -- are you seeing lower growth rates year-over-year? Or are you seeing a negative year-over-year growth in China?
Rickard Gustafson: For Q2, lower growth rates.
Patrik Stenberg: Thank you. And another question from Ben for Rickard. As a manager, how do you think about free cash flow? Is this an important performance metric in your view or not really?
Rickard Gustafson: Well, Ben, the simple answer is yes, it is an important metric that we will continue to monitor and follow very, very closely.
Patrik Stenberg: Thank you. Moving over to Klas at Citi. So on the price/mix, you say that around of the cost increases where you say that around 50% of the cost increases were compensated for, what price/mix roughly would you that imply? Around 2%?
Rickard Gustafson: Klas. So yes, I mean, roughly half of the of the SEK 700 million in the bridge were compensated. So yes, roughly around those numbers.
Patrik Stenberg: More medium- to long-term question related to -- again, from Klas, you say that lower growth and ROCE have been the key issues versus sector peers historically, your M&A pipeline is stronger than what we've seen for years without saying too much, of course, where do you see the gaps for M&A going forward?
Rickard Gustafson: Well, I'll try to answer that one Klas. And you're right, I'm not going to say too much not on this one. But here, I think you need to have some patience, for me coming in new into this business, I want to build a strong strategic platform and holistic view on where should we invest, where do we have the gaps either in terms of technology, in terms of market presence or in terms of segments where I want to play. And I want to develop that road map before we articulate a more specific agenda for our M&A activities going forward. So again, that's what I'm focusing on at the moment, trying to build a holistic view for our future M&A activities.
Patrik Stenberg: And zooming back into more details again from Klas targeting pricing, after the pricing achieved this quarter, how much spot pricing versus OEM? And you said you are early in the price increases. When do you expect to compensate fully for the cost increases, assuming they stay at current levels?
Rickard Gustafson: Yes. So again, if we look at Q2 as a whole, we had a 15% margin. Of course, a lot of activities went in there to achieve that sort of a margin, pricing is, of course, one component which we are working on diligently and hard. But it's only one of many components there. Specifically on pricing, what we've done, of course, you can say in general terms that distribution pricing is somewhat quicker to get an impact from essentially increased distribution pricing while OEM pricing takes longer but we are absolutely working on all fronts and on both OEM pricing and distribution pricing.
Patrik Stenberg: Thank you, Niclas. Now leaving London for Stockholm, SEB and Erik Golrang. A question about our guidance for CapEx. You raised guidance for 2020 and CapEx to SEK 3.8 billion. How should we think about that for 2022 and 2023? That's the first question.
Niclas Rosenlew: Well, we don't really guide on future CapEx levels. But as I said in the previous question, we do believe that we have the financial strength to further invest when we see opportunities either to drive further automation or to really support sustainable and profitable growth. And we're going to do that when we see those opportunities.
Patrik Stenberg: Thank you. Second question relates to headcount. Headcount is creeping up a bit again. Of course, it's demand related, but when would you expect factory closures to start reducing that number again?
Niclas Rosenlew: Yes. If I comment on Q2 headcount specifically, it did, as you say, creep up a bit. It's primarily coming from manufacturing. So in that sense, you can say that it's volume related and related to the extremely strong demand that we have seen. And what comes to factory closures, of course, we don't want to comment specifically on how it's going to go through, and that's something that we do in good cooperation with our employees and the employee representatives then. But as we commented on earlier, we are working diligently on this program we have with around 5 closures announced every year. And then, of course, we do want to see them close as well. So that's a program that we are working through, and depending on whether it's a large production unit or a small production unit, you -- then, of course, you do eventually see a downtick in numbers when as they happen.
Patrik Stenberg: Thank you. Moving back to Bank of America and Maddy again, a more long-term question or a strategic question for Rickard. What is your initial view on the rotation-as-a-service business model do you think it can be a long-term risk in terms of higher competition? Is there any changes needed in the general strategic priorities for the SKF Group?
Rickard Gustafson: All right. I'm going to try to divide it into 2 sections here, starting with the -- your question related to rotation-as-a-service. I believe that this is an area that will continue to grow. It's a good way for us to really get close to our customers. When we create some of these contracts, it creates stickiness and loyalty to our customers. We are very close to our customers, and we are an integrated part in their application development, which is a key benefit when we get there. And also, we get our access to important data that we can use to learn and further fuel our own innovation as we move forward. So all in all, I think the rotation-as-a-service is an important part of our offering going forward. However, though, we still have work to do to truly scale it.  And I believe that some of the answers to do that lies in that we need to simplify it. We cannot sell too complicated and complex solutions. I think very few customers are comfortable in buying that. So some of it is really simplifying the model. I think we have seen some good success stories, especially in North America, when we've been able to do that. And another thing is, of course, that we need to continue to build our software capabilities or analytics capabilities to make this scalable. We got to make sure that we have algorithms and AI to really support a large-scale rollout of these services. So more work to be done, but I still think, and I do believe there's some significant potential here if we get that business model right. Any -- your second part of the question regarding general changes to the strategic direction of the company. Actually, I can't really answer that as of now. Just as I said on the M&A,  I'm going to do a lot of work together with my team here to really digest and assess the group strategic direction and the -- provide a holistic view on where we want to take this company and how to ensure that we get the full potential of the business model that we run. That work will take some time during fall and maybe into early winter. And once we have concluded that, I will be more than happy to share the outcome of that work. But you need to be a little bit more patient and give me some more time to really narrow this down into a comprehensive and robust strategic plan for the company going forward.
Patrik Stenberg: Thank you. Now leaving the big picture zooming into the very details, we've got a question from Max at Ecofin, relating to the timing of commodity prices. So essentially, what is the timing lag of commodity prices through to COGS in industrials? When would we see current spot levels reflected?
Rickard Gustafson: Yes, Max, of course, it depends on what we talk about. But maybe as a very generic comment, you could say that 2 to 3 months is the kind of lag that you can say that applies to our business.
Patrik Stenberg: Thank you. And that actually concludes the questions that we have received from you during the chat. So with that, we close the question-and-answer session. So I leave the word back to Rickard for some closing remarks perhaps. And then we all wish you a good, nice summer.
Rickard Gustafson: Thank you very much. And first and foremost, thank you for joining us this morning, and thank you for your also energizing questions that you have provided. As we said, as we -- in our initial remarks, we do present what we believe is a strong set of numbers today with a significant growth and a strong operating profit, actually a record-high operating profit. We are pleased with that, and we will work diligently to continue that journey as we move forward and trying to navigate also through those headwinds that are still out there related to ForEx exchange related to supply chain and of course, the ongoing pandemic. But thank you so much, and I wish you all a fantastic summer.